Operator: Hello, everybody, and welcome to the Virtu Financial Third Quarter 2025 Earnings Call. My name is Elliot, and I'll be coordinating your call today. [Operator Instructions] I'd now like to hand over to Andrew Smith, Head of Investor Relations. Please go ahead.
Andrew Smith: Thank you, Elliot, and good morning, everyone. Thank you for joining us. Our third quarter 2025 results were released this morning and are available on our website. With us today this morning, we have Mr. Aaron Simons, our Chief Executive Officer; Mr. Joseph Molluso, our Co-President and Co-Chief Operating Officer; and Ms. Cindy Lee, our Chief Financial Officer. We will begin with prepared remarks and then take your questions. First, a few reminders. Today's call may include forward-looking statements, which represent Virtu's current belief regarding future events and are, therefore, subject to risks, assumptions and uncertainties, which may be outside the company's control. Please note that our actual results and financial conditions may differ materially from what is indicated in these forward-looking statements. It is important to note that any forward-looking statements made on this call are based on information presently available to the company, and we do not undertake to update or revise any forward-looking statements as new information becomes available. We refer you to disclaimers in our press release discourage you -- and encourage you to review the description of risk factors contained in our annual report, Form 10-K and other public filings. During today's call, in addition to GAAP measures, we may refer to certain non-GAAP measures, including adjusted net trading income, adjusted net income, adjusted EBITDA and adjusted EBITDA margin. These non-GAAP measures should be considered as supplemental to and not as superior to financial measures as reported in accordance with GAAP. We direct listeners to consult the Investor portion of our website, where you'll find additional supplemental information referred to on this call as well as a reconciliation of non-GAAP measures to the equivalent GAAP term in the earnings materials with an explanation of why we deem this information meaningful as well as how management uses these measures. And with that, I'd like to turn the call over to Aaron.
Aaron Simons: Thanks, Andrew. Good morning. Let me begin by noting this quarter's prepared remarks are brief in order to leave more time for questions. As usual, all relevant performance data are included in our earnings release and supplemental material. Before I turn it over to Cindy to discuss our results, I just wanted to make a few high-level remarks to orient everyone as the company's direction moving forward. Over the past several years, we have completed major integrations, established trading in new asset classes and returned significant capital to shareholders. Our edge in the market is created by our technology, our risk management and our operational efficiency. Additionally, as a business, we carry over our attention to detail to expense management as well as our client relationships. None of that is changing. However, now we feel ready to focus on growing our trading results through investing in our infrastructure, acquiring talent and expanding our capital base. Importantly, this will not be limited to a small number of previously highlighted growth initiatives, rather an overall focus on growth everywhere in the firm. You may recall in the past, we have provided earnings scenarios at different levels of adjusted net trading income in the range of $6 million to $10 million per day, and our goal is to grow our business to trend toward the higher end of this range as a base case. Just on a personal note, I took over the role of CEO on August 1, almost exactly 17 years after first starting at Virtu. An unbelievable amount has changed since then and somehow now is always the most exciting time to be a part of this company. With that, I'd like to turn it over to Cindy for details on this quarter's performance.
Cindy Lee: Thank you, Aaron. Good morning, everyone. Turning to this quarter's results. The firm reported normalized adjusted EPS of $1.05, adjusted net trading income or ANTI was $467 million or $7.4 million per day, predominantly driven by a positive operating environment, which has persisted for most of the year as well as a renewed focus on growth. Market Making reported ANTI of $344 million, were $5.1 million per day, driven by strong performance across all businesses, particularly global equities, cryptos and currencies and commodities. We're also seeing continued momentum in Virtu execution services and are excited about our work expanding the VES product set to include multi-asset class capabilities. VES reported ANTI of $123 million or $1.9 million per day, marking its best quarter since early 2021 and a sixth consecutive quarter of increased ANTI. Earlier this year, we noted goal of $2 million per day through the cycle for VES. We're encouraged by VES performance and consistent quarter-on-quarter growth regardless of the environment. VES offer market-leading financial -- market-leading financial trading products globally across the entire life cycle of a trade. Notable, VES has a suite of workflow and analytics products led by Triton which was recently awarded the top spot in Trade 2025 EMS survey for the third year in a row. These products represent a strong embedded base of revenue. On a trailing 12-month basis, the workflow and analytics business generated $137 million of ANTI. In terms of legacy revenue disclosures, we achieved strong results on our existing growth initiatives, which delivered ANTI per day that was slightly ahead of the prior quarter. Well, the areas included within the existing growth initiatives are important and represent businesses have grown meaningfully over the years. We will look to grow more rapidly in all areas of our business. While we will, of course, maintain our annual dividend, we will seek to grow our capital base to take advantage of the trading opportunities as they arrive. Now we can turn it over for Q&A.
Operator: [Operator Instructions] First question comes from Patrick Moley with Piper Sandler.
Patrick Moley: Welcome, Aaron. I'm really looking forward to working with you. So I have a 2-part question. First, I appreciate all the disclosure around the focus shifting to growth opportunities. I was hoping you could break that down for us a little bit more and maybe speak to some of the areas where you see the most significant opportunity for growth. How much of that is going to be expanding into existing areas where you already have a presence versus entirely new opportunities? And then as a second part, you mentioned in the deck that you'll look to dial back share repurchases in order to build more capital. I was hoping you could flesh out for us maybe how much capital you could potentially be looking to build and what that means for your longer-term capital return priorities?
Aaron Simons: Sure. Thanks, Patrick. I think it's hard to predict in advance. We've always been a firm that reacts to the opportunity that's in front of us. So currently, I think there's a pretty good growth opportunity everywhere in the firm. I mean, obviously, the areas that we've highlighted previously, like crypto, options, ETF block continue to be fast-growing areas, especially given the environment. And so you'll probably continue to see growth there. In terms of the additional capital, I think we provided in the supplemental materials already in 2025 through retained earnings as well as debt financing, we've raised over $500 million of new trading capital, which has already been immediately deployed. I think in terms of a long-term plan, we want to significantly grow the P&L. So if you look at our return on capital rates, they've always been in the upper 60s to 100% return on capital. So if we want to double the P&L of the firm, we're probably going to have to double the capital base. But that's a long-term plan. It may take a few years. And if you look at the reports of the free cash flow that the business generates, I think there's pretty significant opportunity to just accumulate that organically over time. And we've always been incremental in our approach to growing, and we'll just continue to do that.
Operator: We now turn to Alex Blostein with Goldman Sachs.
Alexander Blostein: Aaron, a warm welcome to the call. I would love to get just a little bit more meat around those bones. Obviously, it sounds like it's a bit of a pivot in the strategy. And I guess a multipart question on this. But I guess first is why now what prevented Virtu in the past going after these opportunities that you feel like this is the right time to sort of do this today? And when you think about the existing asset classes, you spoke about, obviously, the newer things, whether it's digital and crypto or options, we know you guys have been on the past for a while. But when you think about the traditional kind of market-making businesses that you're already in, do you see an opportunity to accelerate market share gain within that as well? And what would it take, I guess, for you guys to do that?
Aaron Simons: Yes, I can answer some of that. So as to the why now question, well, there's not like a step change, but there's been like a confluence of factors. So over the past several years, we've pulled off some pretty large integrations and a lot from a technical standpoint, some from a people, cultural standpoint, added significant new business lines. And now that we sort of have a handle on that and things are coming to an end, we're able to refocus some of our talent base on attacking new opportunities. So that's certainly part of it. The world hasn't gotten quieter. So there's definitely just been an uptick in overall external opportunity. And so we just sort of feel it's the right time. And I think the employees are excited about refocusing on growth. In terms of the areas, like obviously, the ones I highlighted, but yes, in our core businesses, there's definitely room to grow. So one of the things that we've always done, right, is that our platform is scaled. It operates the same way everywhere in the world. It's sort of easy for us to redeploy to new asset classes with flexibility. and compete technologically in any market. So when you say our core business, even that encompasses many, many different types of trades in different areas. So there's always like interesting new corners of the markets. There's always like sort of idiosyncratic opportunities in ETF trades or foreign markets or commodities. And we're always just going to try to adapt to what's in front of us and just focus on our processes.
Joseph Molluso: Alex, I would just add to that. This is Joe. The areas that we always outlined is growth continue to be growth areas, right? So we've given that number but I think the pivot here as you describe it, is really to include options. It includes crypto, it includes ETF block, it includes rates. But it doesn't exclude other areas of our business, right? And I think we put in the supplement the capital management priority slide, and this is a little bit to Patrick's question as well, right? We have shown -- and this is the management team that's in here, right? We have shown a long-term track record that demonstrates that we know how to manage capital, right? So we've have a long-term track record of managing capital. We have a long-term track record of integrating acquisitions. We have a long-term track record of operating a scaled business. And we have a long-term track record of growing in select businesses, right? So I think with Aaron at the helm, there's a set of opportunities that are -- that we all agree are getting bigger, right? And that includes a lot of the things that I'm sure we'll talk about on this call. But we didn't want it to sort of look at it as being limited to just a handful of things that we've talked about in the past as growth initiatives.
Alexander Blostein: Right. Right. And then as in addition to capital, do you guys anticipate there is a larger OpEx lift that this will be required? Or do you think you can largely leverage the existing footprint so the incremental revenues presumably will come in at a fairly high incremental margin?%
Joseph Molluso: There should be -- you should still see very strong positive operating leverage in our business. That doesn't mean that we won't need to attract top talent, retain top talent. That doesn't mean that we're committed to a particular ratio of comp to net revenue that we've had in the past, but I think it will still be reasonable. It will look more like the past than not. But I think if it grows, it's going to grow because we're experiencing very high levels of positive operating leverage, good growth. And I think there's no big bang here. As Aaron said, right, we've always been incremental, and we'll continue to be incremental.
Operator: We now turn to [ Elia Bud ] with Bank of America.
Unknown Analyst: Aaron, congrats on the new role, Craig and I look forward to working with you. You highlighted options as an area where there will be a larger focus on growth going forward. I was wondering if you have a time line in mind for when Virtu can start customer market making in options. Is that a near-term 2026 objective or more of a 5- or even 10-year target? And then could M&A be part of your road map in options?
Aaron Simons: Sure. So I don't -- we're not in the business specifically with the goal of doing customer market making 605. If we get to the point where our business is scaled and more profitable, then we have the infrastructure and the relationships where we'd love to get into that business. But really, our focus is on just being excellent at trading options, and we're focused on that and where it leads is where it leads.
Joseph Molluso: Yes, [ Eli ] in terms of M&A, it goes back to the answer on capital management priorities. I think if you look at our history, we used leverage and our capital to execute 2 very highly accretive, important acquisitions to what Virtu is today. We used our capital to buy back our shares when we thought they were undervalued. And we're using our capital today to grow. And should an opportunity present itself where the returns that we can get from an M&A deal are superior to what we have looking in front of us, then we'll explore it. And I think we've got a track record of doing that prudently and not paying -- I think if you look at the acquisitions we've done, we've bought volatility at very low prices. And so I think the purchase price going in was attractive and the execution was excellent in terms of value creation and synergies. There's nothing that we're looking at today that competes with Aaron's plan to grow revenue. And so therefore, our incremental capital dollar is going to grow in the business, but we're always -- we're here to create shareholder value and allocate capital to do that.
Unknown Analyst: Got it. And for a follow-up, can you hit on the revenue capture in the Market Making segment this quarter? Your 605 quoted spread opportunity declined 3% sequentially, but your Market Making revenue fell 26% sequentially. Like how should we reconcile that delta there?
Joseph Molluso: It is always good to kind of look at that. I think there's a great focus on the retail business. Some very smart guys in a research report yesterday wrote that we sit downstream from a long-term secular trend in retail, and we agree with that. But the way we look at it is we performed well against the opportunity overall. Yes, those indicators were down, the volumes and volatility as well as the 605 reports showed declining activity, but we're very happy about how we performed. And I think I mentioned that focus on retail because if you look at our performance this quarter overall, there's always this hyper focus on retail, but our business is a lot broader, right? We have a global operation in multiple asset classes around the world. We did very well in crypto. We did very well in our proprietary Market-Making business in commodities, for example. We haven't talked about VES, right? So I think if you look at us, I think there's this hyper focus on retail for good reason, but there's a lot more there.
Operator: We now turn to Chris Allen with Citi.
Christopher Allen: I wanted to ask on the third quarter results. I think in general, people, the results were outperformed expectations given the environment realized volatility. I'm just wondering, obviously, you raised some capital during the quarter. You noted that it's been deployed, what impact that had? And then any color just on the sequential improvement in the organic growth initiatives or opportunities where there were the best tailwinds this past quarter.
Joseph Molluso: Yes. Look, again, I think if you -- it's a difficult question to answer what impact did the new capital have. In terms of the debt raise, the debt raise was September 23. So that was pretty much towards the end of the quarter. Our -- on Slide 4 of the supplement, you see we earned a 95% incremental return on our capital. So my answer would be any incremental dollar that we deployed this quarter, we earned a 95% return on. And that includes the capital from the beginning of the year. In terms of the performance and what to highlight, I think we mentioned already, I think crypto was a standout, and we expect that to continue. We had a strong performance in options. We had a strong quarter in ETF block. I think all of the things that we've included as growth initiatives were above where we were in the second quarter, just a little bit. So it was all of the above, Chris. And again, I'll mention VES, right? VES is showing growth through different environments. And Steve Cavoli has done an amazing job there, and that business is set up for success.
Christopher Allen: Got it. Just as a follow-up, when we think about capital -- increased capital deployment moving forward, are you thinking about developing new strategies for attacking some of the existing businesses? Or is this just putting capital to work with your existing strategies?
Joseph Molluso: It's all of the above. I'll be make sure I want to point out and say that we're not looking at taking on more risk. I think everything is within the risk parameters that we've historically been comfortable with in terms of Virtu as a market participant, as a liquidity provider, as a service provider. You may -- it's mainly leveraging our existing infrastructure and connectivity. But we'll have more capital to deploy. We'll have incremental talent to develop strategies. And that's really how I'd describe it.
Operator: We now turn to Dan Fannon with Jefferies.
Daniel Fannon: So just wanted to clarify a few things. So as we think about Virtu's strategy over the last kind of couple of years, we've seen more consistent results and less kind of peak and trough. And given this change in putting more capital work, do you expect to see more variability in the quarter-to-quarter revenue and/or ANTI EBITDA, however you want to think about it, given -- as the opportunity set changes? Or is this going to drive more consistent results? I guess what's the goal here?
Joseph Molluso: Well, the goal is, as Aaron stated, to move to the higher end of the range that we published in the past of different levels of net trading income, right? So that's always been a difficult question to answer for Virtu because you've got to give me a time parameter, right? If it's -- if you're talking about daily or weekly, maybe. If you're talking about monthly, maybe if you're talking about quarterly, it really depends, Dan. So I think Aaron stated it clearly, right? The goal is to move towards the high end of that range. It's a trend toward it as a base case, right? And there could be more variability, but I don't consider that being sort of less predictable or less volatile even, right? We're a volatile business, and we're going to remain a volatile business. And I don't think -- I really don't think of us in the past -- it's interesting to hear you say that. I don't think of us in the past year or 2 as being less volatile. I think we've just done good job growing the business, and now we're going to accelerate that growth.
Daniel Fannon: Okay. And then just to clarify some of the other questions. So as we think about now you're deploying more capital today, you're going to obviously accrue more capital. Where do we think about the level of investment? So level of investment will go with the revenue opportunity. We don't need to invest today more based upon having more capital wanting to do more. So I just want to understand the timing of new investment in terms of people, strategies, all these things versus the revenue opportunity. Are those in line with each other or one comes before the other?
Joseph Molluso: Mostly in line, Dan. There's no long-term lag here, I would say. Now that all being said, we are -- as I just answered your previous question, we're still a volatile business, and the environment is still going to have a big impact on our performance. So it's going to be hard to separate the noise there in terms of the environment versus the impact of incremental talent, incremental capital. But it's the age-old question for us, I think, long term, up to the right, moving towards the high end of that range. And there'll be noise quarter-to-quarter for sure. But none of it as a plan requires a multiyear sort of investment before you start seeing results. It's not instant, but it should largely be in line.
Operator: [Operator Instructions] We now turn to Ken Worthington with JPMorgan.
Kenneth Worthington: So the stock price has dropped a lot more recently. You've clearly highlighted routine earning growth strategies are the priority. How do opportunistic buybacks play into capital management when you see big declines in the stock price like we've seen more recently?
Joseph Molluso: Ken, I think we have stated that the opportunity in front of us allows for the highest and best use of our incremental capital dollar. And the best way -- our jobs every day as managers of the business is to increase the stock price and maximize the value and putting dollars to work in the business, Aaron, and we all determined is the best way to get the stock price to where we think it should be. We -- for a very long time, we were trading at levels that we thought the incremental dollar was best spent on our stock. We're not ruling anything out publicly in terms of we still have dry powder under the buyback authorization and perhaps as we have vesting shares from compensation plans, we may look to just sort of neutralize the impact of that so that we don't have share creep. But the direction is clear that our incremental dollars are going to be spent growing the business and in our trading capital base.
Kenneth Worthington: Okay. Perfect. made it crystal clear. The other narrative that was sort of going around was tokenization. So maybe how is Virtu positioned for an increase in tokenized assets moving on chain? Sort of what is your right to win? Will the infrastructure that you have need to change to support this sort of transition to tokenization? And if so, maybe to the prior question, what sort of incremental investment is required if the world moves to more tokenized on-chain assets?
Aaron Simons: Yes, I can answer that. I mean I think it fits with our current business. So we're very active in many crypto markets around the world. A lot of them obviously are the centralized exchange model, but we do participate in some direct on-chain interactions. We're partnering with people in terms of various interesting initiatives like we're part of the [ PIT ] foundation, more part of the Canton network. So we're always active in developing new interesting trading infrastructure. And I think with regards to this and other sort of new opportunities, like everyone is talking about prediction markets, anything that is trading electronically and has sufficient depth of liquidity, we stand ready to make markets and our technology is adaptable to all of those opportunities. So we're excited about it.
Operator: We now turn to Michael Cyprys with Morgan Stanley.
Michael Cyprys: I recall in the past that we heard that doubling the capital base wouldn't necessarily double earnings. So curious what's changed in that regard? And what areas or what would be the top few areas that you anticipate allocating more capital toward? Like how might you rank order or prioritize that? And maybe you could touch upon some of the areas where you're looking to hire?
Joseph Molluso: Yes. Again, Michael, I think we put a slide in the supplement. I think we have proven that we know how to allocate capital. We've proven that we're going to devote it to the highest and best use, whether it was acquisitions, integrating acquisitions, buying back our stock. And I think we -- in the past, we identified areas where we needed to grow and grew businesses that were 0 to $100 million-plus businesses and increased our capital base. So I think the markets evolved. And I think we're ready now. I think we probably weren't ready in the past, and we have the ability to do it given our infrastructure, our scaled infrastructure. And we've got the team in place, and we have a new CEO who wants us to pivot to growth, and that's what we're doing.
Michael Cyprys: And just in terms of the question around prioritizing areas that you're hiring?
Aaron Simons: I mean there's a lot of them, but yes, we're aggressively hiring what you would call broadly developers that's very important for our business. It's a vague term, which I hate, but we're probably hiring a lot of quants. We're hiring traders. So basically, any aspect of the business. I think just going back to the question, which I think Joe answered very well, but the previous comments, I think you have to take in the context. So it's not the case that we could just -- if someone gifted us double the amount of capital tomorrow that we could just turn it on and make twice the money. The comment is that yes, we can grow the earnings with more capital, but it requires a lot of hard work to do that. So it requires more people. It requires working on our strategies. It requires revamping and expanding our infrastructure. So it's not like a magic machine where we can just dump more money in and get more money out, but we're excited about doing the work and growing the business.
Michael Cyprys: And what areas do you expect to allocate that capital to more meaningfully than others? How do you think about prioritizing that? And when you think about doubling the earnings, what areas you think will be meaningfully contributing towards that?
Joseph Molluso: It will be flexible. It will be based in part on what is going on in the market. I think if you look at an area like crypto where we've done very well, crypto was a fragmented market, which necessitates the need for more capital intensity because there's no settlement utility, and there's multiple venues. ETF block is a big business that we've grown quite well, that by its nature is more capital intensive. So it really depends on the end market. It depends on the characteristics of the end market. It depends on the prime brokers. It depends on the venues. It depends on the participants, depends on the trading format. U.S. equities, 605 business is a very capital efficient business, right? So we think we're going to grow everywhere. But the capital usage is going to go to areas where we think we can -- where we need it -- where we needed to grow, right? So areas like commodities, areas like foreign exchange, they're all different, depending on the end market, depending on the market structure. So really, it just really depends on what is going on in the market and the sort of the nature of the end market.
Operator: That's all the time we have for questions. I'll hand back to Aaron Simons for any final remarks.
Aaron Simons: Thanks, everyone, for joining. Hopefully, this is informative, and we look forward to seeing you next quarter.
Operator: Ladies and gentlemen, today's call has now concluded. We'd like to thank you for your participation. You may now disconnect your lines.